Operator: Hello, and welcome to Lucid Q4 2024 Earnings Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions]. I would now like to turn the conference over to Maynard Um. Sir, you may begin.
Maynard Um: Thank you, and welcome to Lucid Group's fourth quarter 2024 Earnings Call. Joining me today are Marc Winterhoff, our Interim CEO, Gagan Dhingra, Senior Vice President of Finance and Principal Accounting Officer, and Taoufiq Boussaid, CFO. Before handing the call over to Marc, let me remind you that some of the statements on this call include forward-looking statements under federal securities laws. These include, without limitation, statements regarding the future financial performance of the company, production and delivery volumes, vehicle and products, studios and service networks, financial and operating outlook and guidance, macroeconomic policy and industry trends, company initiatives, and other future events. These statements are based on the predictions and expectations as of today, and actual events of results may differ due to a number of risks and uncertainties. We refer you to the cautionary language and the risk factors in our most recent filings with the SEC and the forward-looking statements on Page 2 of our investor deck, available on the Investor Relations section of our website at ir.lucidmotors.com. In addition, management will make reference to non-GAAP financial measures during this call. A discussion of why we use non-GAAP financial measures and information regarding reconciliation of our GAAP versus non-GAAP results is available in our earnings press release issued earlier this afternoon, as well as in the investor deck. With that, I'd like to turn the call over to Lucid's Interim CEO, Marc Winterhoff. Marc, please go ahead.
Marc Winterhoff: Thank you, Maynard, and thank you, everyone, for joining us in our 2024 and fourth quarter earnings goal. This is my first time speaking to you as Interim CEO. I'm honored the Board has named me to this role at a pivotal and exciting time in the company's journey. It's a true pleasure to be here and share our vision, progress, and the remarkable strides Lucid has made in 2024. Before I get to my prepared remarks, I'd like to first thank Peter Rawlinson. Peter founded Lucid as you know it today, helping to bring the world the most advanced EV technology, the Lucid Air, the world's best sedan, and the Lucid Gravity, an SUV with truly no compromise. Under his leadership, the team built the most advanced greenfield EV manufacturing plant in the U.S., built the first car plant in Saudi Arabia, signed the company's first technology supply agreement with an OEM, and put us on a determined path to further advance the state-of-the-art of electrical cars with our next-generation Atlas powertrain and the midsize platform. I could probably spend the entire hour speaking to his accomplishments, but above all, Peter put together an incredible team to advance the company's mission, and I'm honored to lead this team into the next phase of its journey. This sets nicely into my delight to introduce today Lucid CFO Taoufiq Boussaid. Tawfiq brings very strong financial experience as a CFO that aligns very well with our long-term strategy. He has decades of experience in strategic finance and operational transformation with a proven ability to align financial strategy with business objectives as we scale our operations efficiently. He joined us a few weeks ago but is already getting to the thick of it. Taoufiq, would you like to give a brief introduction?
Taoufiq Boussaid: Thanks, Marc, and hello, everyone. I couldn't be more excited to be here at Lucid at such a pivotal moment, not just for the company, but for the entire EV industry. We are in the middle of once-in-a-generation shift towards electrification. This is a secular shift, and Lucid is at the leading edge of that transformation. What immediately struck me about Lucid is that this isn't just another car company. It's a company built on engineering excellence, bold innovation, and a clear vision to redefine the future of sustainable mobility, and that's exactly why I'm here. Throughout my career, I've helped companies navigate through complex transformation, growth expansions, and large-scale operational turnarounds. I have worked in industries where disruption, competition, and rapid change were constant realities, and I've seen firsthand what it takes for a company to go from a visionary idea to a financially strong, globally-scaled business. The key to the success is about smart capital allocation, operational efficiency, and making sure we set up for long-term profitable growth. At Lucid, we have world-class technology, industry-leading efficiency, and a brand that stands for performance and luxury. But as we move into the next phase, scaling production, optimizing operations, and accelerating growth, bringing financial discipline will be more critical than ever. What really excites me is the opportunity ahead. The EV market is still in its early days, and as demand continues to grow, the real challenge is scaling. Scaling efficiently, operating smartly, and driving sustained financial performance. That's where my focus will be. Ensuring we scale efficiently, balancing growth with operational excellence, driving financial discipline and smart capital allocation, while making sure we invest in the right areas to maximize long-term value, and strengthening our financial strategy so that we're not just building great cars, but also building a sustainable, profitable company that delivers for our investors and stakeholders. I've had the chance to drive the Lucid Air and experience the Lucid Gravity, and I can confidently say that these are game-changing vehicles. But great products alone don't make a great company. It takes strong execution, a clear financial roadmap, and the right leadership to turn potential into sustained success. That's why I'm here, and that's why I'm committed to delivering. Over the coming weeks and months, I look forward to engaging with our investors, analysts, and key stakeholders, sharing more about our strategy, and working with this incredible team to make Lucid a true powerhouse in the industry. I'm honored to be here, and I can't wait to get started. Thank you.
Marc Winterhoff: Thank you, Taoufiq. I also want to take a moment to give a special thank you to Gagan Dhingra for his great work as our Interim CFO. Gagan is an incredible example of Lucid's experienced internal talent that we can utilize to maintain seamless continuity. I'd also like to congratulate him on his promotion and expanded role as Senior Vice President of Finance and Accounting, in addition to his role as Principal Accounting Officer. We look forward to your continued contributions to Lucid. I believe Taoufiq's addition and Gagan's promotion set the finance organization up for continued success in accelerating our strategic priorities at Lucid. Now turning to the business. 2024 was an incredible year for Lucid. We established ourselves as the preeminent leader in EV technology, producing the longest-range, fastest-charging, most efficient sedans on the market, achieving a market lead at five miles per kilowatt hour. We saw four consecutive quarters of record deliveries, significant year-over-year improvements in gross margin and our working capital, delivered our first Lucid Gravity SUVs, and strengthened our balance sheet. I think it's fair to say that our say-do ratio was very good. These accomplishments are a testament to the hard work and the support of the Lucid team, our supply chain partners, and our strategic partner, the PIF. We are grateful for all their continued support. Now to the numbers. In 2024, we produced 9,029 vehicles with deliveries of 10,241, a record year. But let me put this in context for you. In 2024, the Lucid Air was the third-best-selling EV in its segment in the U.S., according to Motor Intelligence. But that doesn't reflect the momentum we gained because we were the number-one-best-selling EV in the back half of 2024, [forward] [ph] segment, and the third-best-selling vehicle when including all gas-powered vehicles in the segment. I think this is worth repeating. The Lucid Air was the number-one-best-selling EV in the second half of 2024, forward segment, and the third-best-selling vehicle among all vehicles in its class, including gas-powered vehicles. Think about that for a second. We outsold many of the most storied and well-known brands in the automotive industry, in both the EV and the gas market. This is a testament to how much customers love the Lucid Air. They love how it drives, its performance, its drivability, the design, the charging speed, the interior space, and the range, of course. And I'll tell you why this is so important as we enter 2025. Because everything that customers love about the Air, we brought to the Lucid Gravity. This is why we are tremendously optimistic about the Lucid Gravity in the SUV segment. In the coming weeks, we expect virtually all of our studios to have showroom and test-drive cars, so buyers can see and feel just how great it is for themselves. Turning to the Lucid Gravity demand, we opened U.S. orders for the Lucid Gravity Grand Touring in November of last year, and orders have exceeded my expectations. We've opened the orders for the Grand Touring in the U.S., and the order for the Gravity Grand Touring are exceeding the Air Grand Touring by far in the same timeframe. And this is with an intentionally very limited marketing push, which you can expect us to significantly ramp up throughout 2025. Mark late Q1 in your calendars. We are working on something truly special. And we expect to open orders for the Touring trim late this year. So we feel very optimistic about the large market opportunity ahead. I'd also highlight that well more than three quarters of the Lucid Gravity orders are new customers to Lucid. The Lucid Gravity is attracting new people to the brand, again, despite very limited marketing. As we ramp up the number of Lucid Gravity's on the road and our marketing campaigns, we anticipate seeing a strong growth trajectory like we saw with the Lucid Air, but in a much larger market opportunity. I'd like to add that thus far, while we priced the Lucid Gravity Grand Touring attractively starting at $94,900, we are seeing customers ordering highly optioned, equipped configurations. A significant portion of the orders have a configured price of above $120,000, and more than two-thirds opting for the seven-seater. We would expect this trend to go down over time as we mix in less equipped configurations for inventory. Others are moving away from larger three-row SUVs because it's challenging to create an SUV with lots of space without sacrificing range or having a large battery pack that makes it less financially attractive to make. But we solved that problem with our technology, and I think customers will be really happy with the Lucid Gravity. I believe it's very unique in the industry. Customers have been telling me that it has every feature they want in an SUV, and it's underpinned by our industry-leading technology that customers can only expect from Lucid. In December, we launched Compromise Nothing as our brand promise with a hero video and a campaign. I have to say I'm impressed by the response and the positive feedback. I think we found the perfect way of expressing what Lucid is all about and what the customers can expect from joining the Lucid family. We once again achieved the highest level of brand awareness among customers intending to purchase EVs, and we are just getting started. We have a long list of exciting creative concepts we are working on. Stay tuned. In 2025, we will take a much bolder approach on marketing than ever before at Lucid, starting with the Lucid Gravity event in just a few weeks' time in New York City. Now we're going to put a lot of focus on quality and ensure customers get what they expect from the Lucid brand. As mentioned last quarter, this means we will have more gradual delivery ramp in the first quarter. We'll prioritize Lucid Gravity's for showrooms and test drive, which I think is the right strategy and one of the key learnings from the Lucid Air launch. We want our customers to be able to experience the Lucid Gravity. We are also working with our suppliers to ensure they can ramp with high-quality parts and support our production ramp in Q2. We also opened orders in Saudi Arabia in early February, and we expect to start producing a number of Lucid Gravity's for customers there. These vehicles will be in transit in the first quarter for final production at our M2 factory in the second quarter. So you see those in our Q2 production numbers. Now turning to Europe. It's still early, but we continue to see traction, and that's despite the very tough market for EVs in Europe these days, especially in our segment. And we have our eyes set on accelerating our progress. We have added additional sales studios and service centers, for example, in Germany. And we are accelerating the growth of our retail footprint and market coverage in Europe by introducing additional distribution channels like importers and agency models for select countries in addition to our existing direct-to-consumer model. We are very excited about 2025 and expect another big year. We expect to produce approximately 20,000 vehicles with continued growth in 2026 as we get a full year of Lucid Gravity. Further brand awareness growth and more maturity in the business and markets. This will take us to midsize with scheduled start of production in late 2026. I was just down in the design studio, and I can tell you the vehicles look amazing. I think customers are going to love them, and I can't wait to show them to you. I don't want to reveal too much, but we are currently planning to unveil them late this year or early next year. In closing, I'd like to highlight the four strategic priorities I'm focused on. First, I continue to be laser-focused on driving our growth of customer deliveries of our high-quality and technology-leading vehicles. As mentioned before, this includes doubling down on marketing across regions we are active in, expanding our retail footprint and distribution channels, and most importantly, ramping production of the Lucid Gravity. Second, continue to advance our technology leadership in vehicles, especially powertrain technology, but equally important, further advancing our advanced driver assistance system functionality. For example, by introducing hands-free driving, which we expect to roll out later this year. Third, bringing our three midsize vehicles to market with the first vehicle scheduled for start of production in late 2026. In fact, we signed off on the advanced engineering phase of two of the midsize variants, which will now move to the development and industrialization phase. This includes the Atlas powertrain, which is well under development and is all about a lower-cost version of our Zeus powertrain in the Air. Fourth, expanding our technology license business and drive forward other new technology monetization options. This will be a core focus in terms of the discussions that are already well underway, as well as examining new opportunities. And of course, underpinning all of this will be a laser focus on cost and efficiency, which will be enhanced with a partnership with Taoufiq. With that, I'd like to turn over to Gagan Dhingra to provide an update on our financials.
Gagan Dhingra: Thank you, Marc, and thank you to those who are taking the time to join us today. Before I get to my prepared remarks, I want you to take a moment to express my gratitude for Peter's leadership, guidance, contributions, and for his continued vision to drive the company's success. I'm grateful for the opportunity to learn and grow under his leadership. I would also like to take this opportunity to thank the leadership team, the board of directors, and the entire Lucid team for their unwavering support. It was an honor and a privilege to serve as the company's Interim CFO. It was also a pleasure telling the Lucid story and getting to know so many of you in the analyst and investor community. I truly appreciate the thoughtful discussions and insights you have shared. I remain deeply appreciative of the relationships we have built and the journey we have taken together over the last several earning calls. As I turn my focus to my new and expanded role, I would like to take this opportunity to officially welcome Taoufiq to the Lucid team. Turning to our 2024 and fourth quarter results. As Marc mentioned, 2024 was a transformational year for Lucid. We delivered four consecutive quarters of record deliveries. We made significant improvement in gross margins, nearly having them on an year-over-year basis, and we expect significant improvement in 2025. We successfully managed operating expenses despite strategic growth investments, delivering on our guidance for operating margin improvement year-over-year. We strengthened our balance sheet with continued strong support from our strategic partner, the PIF, as well as new investors in our last transaction. And we also significantly improved working capital behind strategic improvement in inventory management and despite mixed headwinds. We have a lot to be proud of in light of the challenges we and the industry face, but we recognize that we still have a lot more work to do. The team is invigorated with the Lucid Gravity Ramp still ahead of us and as we get closer to the launch of our high-volume mid-size platform. Turning to production and deliveries. In 2024, we produced 9,029 vehicles, up 7% year-over-year and in line with our guidance of approximately 9,000 vehicles. While delivering 10,241 vehicles up 71% year-over-year. During the fourth quarter, we produced 3,386 vehicles up 42% year-over-year and up 88% sequentially. And delivered 3,099 vehicles up 79% year-over-year and up 11% sequentially. This was the primary driver of the $234.5 million in revenue for the quarter. GAAP gross margin for 2024 was negative 114%, a significant improvement from the negative 225% in 2023. In the fourth quarter, GAAP gross margin was negative 89%. This included a favorable impact related to a net supply recovery, which we were able to successfully negotiate. Excluding this benefit, gross margin of negative 108% was similar to the third quarter and in line with the guidance we provided. In 2025, we expect another year of significant gross margin improvement similar to the trend in 2024. We expect this improvement to be driven by a combination of production scale, mix, and continued focus on cost reductions. Gross margin for the first half of 2025 is expected to be near the levels of Q4,24, excluding the one-time favorable recovery benefit. This is due to one-time incremental cost associated with the Lucid Gravity ramp-up and then significantly improved with scale in the second half of the year. We expect Q1 to be more impacted by seasonality and then improve in Q2 with the ramping of the Lucid Gravity. Turning to OpEx, R&D in 2024 was approximately $1.18 billion, up 26% year-over-year, driven largely by Gravity investments. R&D in the fourth quarter of $280 million was down from $324 million in the prior quarter as costs related to gravity diminished with the start of production. In 2025, we expect R&D to steadily increase throughout the year as we ramp up midsize and Atlas investments. SG&A in 2024 was $901 million, up 13% year-over-year, and $243.9 million in the fourth quarter, up 4.4% sequentially. The Lucid Gravity is an opportunity for Lucid to accelerate its brand around a compelling new product in a much more desirable SUV market segment, and we expect to put more muscle behind the Lucid Gravity to drive sales and brand awareness. We expect to be able to leverage the brand awareness growth into the midsize market with the midsize vehicles we expect to start producing in late 2026. We expect operating expenses in 2025 as a percentage of revenue to improve by more than 100 percentage points. Turning to other income, in Q4 we recorded a gain of $292.6 million in other income from a change in fair value of derivative liability and a corresponding total accretion of $239.7 million associated with our redeemable convertible preferred stock under a line item below net loss. This was mainly due to the decrease in our share price at the end of the fourth quarter compared to the prior quarter. Adjusted EBITDA in Q4'24 was approximately negative $577 million, an improvement of 6% from Q3'24. Moving to the balance sheet, we ended the quarter with approximately $5.08 billion in cash, cash equivalents, investments, and equity securities with total liquidity of approximately $6.13 billion. This does not include the MISA grants or the SIDF loans. Additionally, we also renewed and upsized the GIB credit facility, increasing the commitment amount from 1 billion Saudi Riyal to 1.9 billion Saudi Riyal, further improving our liquidity profile by approximately $240 million in U.S. dollars, and demonstrating strong support from our global banking network. Turning to inventory, inventory was $407.8 million in Q4'24, down from $506.8 million in Q3'24 due to continuous improvement in inventory management. Capital expenditure for 2024 was $883.8 million, slightly below the $1 billion we guided to on our third quarter earnings conference call. The lower CapEx was primarily related to the deferral of projects into 2025. Before moving to the outlook for 2025, let me touch on some external factors. The industry faces a number of uncertainties with regard to potential policy and regulation changes in the U.S. We have been working tirelessly to find ways to mitigate some of these impacts. For example, we have been taking steps to localize supply. We have also actioned certain supply chain optimization efforts that we think could help mitigate some of the tariff impacts as we understand them today. And we expect some of these actions should also benefit us from a cost perspective. Of course, we don't expect to be immune from potential policy changes and understanding precise impacts has a number of dependencies. We are closely monitoring the situation and will continue to work with our government partners. Our production outlook embeds our best understanding of the possible impacts as we comprehend it today. We forecast production of approximately 20,000 vehicles in 2025. With regard to our liquidity position, we ended the quarter with total liquidity of approximately $6.13 billion. Due to our cost transformation efforts and cash management, we expect our current liquidity will now give us runway into the second half of 2026. In addition to the recent upsizing of the GIB facility, I would also highlight that this does not include future SIDF loans or MISA grants. Moving to CapEx, our focus is increasing investments in our future growth initiatives and we expect capital expenditures for 2025 to be approximately $1.4 billion. Reflecting AMP-2 expansion for our completely built-up unit factory, Atlas Powertrain manufacturing in AMP-1, certain deferrals in our capital outlay from 2024, and our continued investments in retail infrastructure. From a product perspective, we are scheduled for start-up production of our high-volume mid-size platform in late 2026. As we close up 2024 and look ahead to 2025, I couldn't be more excited about the opportunities that lie ahead for our company. We built a strong financial foundation, established ourselves as the EV technology leader, and positioned ourselves for significant growth. In the coming year, we will continue to focus on driving efficiency, investing strategically, and creating value for our stakeholders. We thank you for your continued trust and support. With that, let me turn it back to Maynard to get to your questions.
Operator: [Operator Instructions]
Maynard Um: Hi, Tawanda. So, before we get to the calls by phone, I'd like to take some retail questions from investors on the Say Technology platform. Our first question comes from Patrick M. Peter mentioned how Lucid aims to be 80% tech company and 20% car company. When is revenue from tech plays expected? What categories of products do you see making up that 80% of revenue?
Marc Winterhoff: Yes, Maynard, let me take this. Well, thanks for the question, Patrick. I think this statement by Peter was a bit taken out of context. I want to stress that it doesn't mean we're deprioritizing our automotive car business. Quite the opposite is the fact. We are very excited about the growth potential that we have, particularly with the Gravity coming to market. 80% tech company and 20% car company basically means that we see ample opportunity to leverage our technology and with external customers beyond our car business. But it doesn't mean like one of the articles that I read in the headline, Lucid wants to become a supplier and do cars on the site. This is not what we're planning to do. I wanted to make this very clear. We are in constant discussions with additional partners for deals, and we're expecting deals to close soon, but I cannot go into further details. Types of products and revenues. Right now, it's definitely vehicle technology related, but we are exploring other means of monetization and other technologies going forward.
Maynard Um: Thanks, Marc. We'll go to our second question from Paul C. It's been mentioned that discussions are ongoing regarding potential tech deals since 2021 with one deal made. Are the recently mentioned discussions the same or with different manufacturers? Do you see a deal being made before the Atlas Motor is ready?
Marc Winterhoff: The recently mentioned discussions are not with the same potential partners that we talked to in 2021. As a matter of fact, the list is getting longer and longer. Just this week, we had additional very large OEMs reaching out to us in order to have discussions. As a matter of fact, regarding the second question regarding the Atlas Motor, it is not needed to have the Atlas Motor ready. As a matter of fact, some of the current discussions are about the Zeus powertrain and not about the Atlas. Our future discussions definitely are around the Atlas Motor, but we don't have to wait until the motor is ready. By now, we are established as the technology leader, so we don't have to show it first anymore.
Maynard Um: Thanks. Our last question is from Paul C. With Gravity deliveries being low while you're manufacturing ramp-up quality mindset constraint, are you concerned that you will lose a lot of customers who have pre-ordered due to long wait times, similar to what happened with Air?
Marc Winterhoff: Well, let's put long wait times into perspective. We opened the orders in November, so that's a few months ago, and we are starting to ramp up our deliveries over the next coming weeks. So, it's not really in comparison what we've seen at Air, a long wait time. And also, let's not make a mistake. Every automotive OEM has a gradual ramp at the beginning when they launch a new product. So, it's not unnormal what we're experiencing here. So, and even beyond that, yes, there might be some customers that change their mind because it doesn't fit their timing, but our order intake right now is healthy, actually very healthy, without any marketing. And we said that in the earnings call, and we expect this to become even healthier going forward.
Maynard Um: Great. Tawanda, we'd like to now take questions from the phone lines.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of John Murphy with Bank of America Securities. Your line is open.
John Murphy: Just wanted to go kind of right to the heart of, I think, what a lot of people are questioning right now. I mean, Peter's not on the call. It's a bit untraditional to make a change like this without having the founder involved with the transition call. I'm just curious why Peter isn't present and why he would make an announcement like this without a successor, why he wouldn't stick around until a successor was chosen. I know it's a tough question, but I mean, it's the one that everybody's thinking right now.
Marc Winterhoff: Yes, I can take that. Obviously, I think we clearly announced that Peter made the decision that after 12 years, it's now a good time to pass the baton. What Peter did in that time is extraordinary. And he built this company, but he also built a very strong team. And he felt that it's now a good time after bringing Air to life, establishing our technology leadership and Gravity to pass the baton. And that's why we are sitting here right now to take the call.
John Murphy: Okay. Then just a second question. I wonder if you could kind of give us an idea of the Gravity order book and how that's developing. I'm not sure you'd be willing to give us the size, but we'd love to hear that. But just kind of the trajectory and how that's developing.
Marc Winterhoff: Yes. I mean, I just mentioned that in the earnings call. We opened the orders last November, and I was actually positively surprised about the demand. Let's not forget, we only opened the orders for the Grand Touring train, which started at $94,900. And the vast majority of orders that we get are north of $120,000. And that limits potentially the numbers, but we see actually very strong takeoff of orders. And I want to repeat, we haven't done much marketing. I would actually almost say we have done no marketing so far for the Gravity, which we are planning to increase drastically over the next couple of weeks. So stay tuned. You will see some very interesting things coming.
John Murphy: So Mark, is it fair to state that the Gravity's that you have within the $20,000 guidance is what you think you're going to sell? Or is it what you're limited for production? I'm just trying to understand, because it sounds like the order book is still early days. How are you coming up with that number, and is it capacity constrained?
Marc Winterhoff: Yes. I think Peter said that in previous earnings calls that we're expecting to be capacity constrained in the first couple of quarters. And that's the way right now we were projecting this. We have also considered in the $20,000 the fact that obviously there's a lot of uncertainty right now with regulatory changes and other parts. That's why we wanted to be a little bit more prudent with the numbers. But yes, we expect to be in the first couple of quarters supply constrained.
John Murphy: And then just one last one on the midsize. I mean, it sounds like it's getting close to design freeze almost. I'm just curious when that hits, when we get to see it, because we'd love to see it. Most of your vehicles so far are pretty good looking. And who is kind of taking the lead on that now that Peter has stepped aside? Is he still involved with that product in the final stages? Or is the rest of the team leading the charge?
Marc Winterhoff: No, it's clearly the rest of the team. So really, Peter has handed over the day-to-day responsibilities to the team. And we have a head of product, we have a head of powertrain, we have a head of design. All those people that are with the company for many, many years, some north of 10 years, will continue the baton to the finish line.
John Murphy: And when do we get to see it, the prototypes?
Marc Winterhoff: Yes, I think I said that earlier. Later this year, beginning next year.
Operator: Our next question comes from the line of Tom Narayan with RBC. Your line is open.
Tom Narayan: Hi, Marc, Taoufiq, and congrats to Gagan on your new role. I just have follow-ups to what John was asking, some of his questions. First, on Peter's new role, just curious as to what that is exactly. You mentioned not day-to-day, but as an advisor, what exactly does that mean? It's such a strong presence, obviously, for all of us. I'd just love to hear more on that first.
Marc Winterhoff: Well, I mean, it's basically Senior Technical Advisor for the Chairman of the Board. Yes, strategic technical advisor. So, again, we will not be part of the day-to-day business, but if there are questions arising and the Chairman thinks it is worthwhile to involve Peter, then he will. But it's up to the discretion of the Chairman to have that interaction.
Tom Narayan: Okay. And then the other follow-up, again, on Gravity. I understand capacity constraint on the 20,000. Are you guys still seeing that six times total addressable market for Gravity versus a sedans? Or has that been lowered by any chance? You're only doubling the size from basically production year-to-year.
Marc Winterhoff: Yes. As I said, it's more production supply constraint than it is demand constraint. So, that's really the reason we're ramping up. We want to make sure that we are ramping up with high quality, and that's the main reason. So, we haven't changed the temp for Air and Gravity together.
Tom Narayan: Okay. My final one on the IRA credit. Could you remind us what portion of your demand came from the lease portion of the IRA? That's, I think, what folks are thinking may go away. Just seeing what headwind that could be for you guys.
Marc Winterhoff: I think right now it's no secret that a good portion or a big portion of all EV sales in North America are leases. And that also applies to us. But I wanted to point out earlier, I said already that in our production numbers, and obviously linked with delivery numbers, we already anticipated regulatory changes and how that potential impacts our demand. One, maybe additional information on Gravity, as I've mentioned, we only have open orders for the Grand Touring. And the vast majority of that car right now is configured at prices around $120,000, where the price elasticity is not as big as when you talk about your $60,000 vehicle or $50,000 vehicle. So, it's not that we have not considered anything. We actually did. But we don't expect this to be a super swing.
Tom Narayan: Okay. Last one on the licensing. I think you mentioned there's very large OEMs reaching out to have discussions. I mean, is there any more detail on that? Are they far along or is it just like kind of very introductory level for these large OEMs?
Marc Winterhoff: Well, I mean, it changes, actually. Because, yes, for the ones that I just mentioned, the two that just reached out, it's introductory. But we have others that are much further along. And it's not only for upcoming technologies, even for technology, as I mentioned, for the Zeus powertrain that we already have. So, I'm not commenting on how far we are. We hope to surprise everybody.
Operator: Our next question comes from the line of Stephen Gengaro with Stifel. Your line is open.
Stephen Gengaro: I think, two, for me, can you give us a sense when we think about 2025, how the mix, the gravity mix impacts the progression in gross margins?
Gagan Dhingra: Yes, absolutely. So, if we look at from, you know, like year 25 perspective, we said in the prepared remarks, we expect a significant improvement in gross margin in line with what we see in 2024 compared to 2023. So, we are on the right trajectory. During this call, we are not sharing the split between Air and Gravity, but it's going to significantly improve.
Stephen Gengaro: Okay. Thanks. And the other question was, I mean, this has kind of come up, but given sort of a demand expectations for Gravity and how it unfolds, could you ballpark for us either what you think, like, the 4Q production exit rate could be or how we should think about, like, a 2026 production capability? Without giving maybe specific numbers or what you expect, but what kind of capacity would you have in '26 once gravity is kind of rolling at the end of this year?
Marc Winterhoff: I'm not prepared to disclose this. I mean, we have variability. We can add additional shifts, for instance. So, that's all things that will be going to decide throughout 2025 when we see how the demand evolves. And also when we then later in the year, as mentioned, open orders for the Touring. So, I think that has to wait a few quarters until we talk about that.
Operator: Our next question comes from the line of Chris Pierce with Needham & Company. Your line is open.
Chris Pierce: I'd just love to hear why you want to lean into marketing so aggressively right now when your production constraints. Would it be that you're trying to market the Air as the family of cars or is it trying to pre-see the market for the Touring edition? I just kind of want to get a sense of why lean into marketing so soon.
Marc Winterhoff: No, it's actually not really linked to the Touring or the Air. But I mean, compared to, let's say, established OEMs, we're still behind with brand awareness. And with the Gravity coming to market, we have a very great opportunity to not only introduce a new car, but also introduce the brand to our customers at a much larger stage and scale than we were able before. And let's not forget, what we're working towards is the midsize. Then we're talking about a much bigger pan, a much bigger pool of people that we need to reach. And that's what we're paving the way for. And important for that is that we continue to build the brand, not only market the vehicles, but continue to build the brand in order to really then see the demand when midsize comes around.
Chris Pierce: Okay. And then not to put you on the spot too much, but I guess if you think about Rivian as sort of the quasi-closest comp, we see them unable to generate positive gross margins without regulatory credits at 50,000 units. Do you think you'd be ahead of that pace because of your lower battery input costs? What's the right way to think about longer term production? We can make production estimates, but how should your margins kind of line up over time when we think a little further out? Just in terms of advantages and disadvantages versus peers, to the extent you can speak to it.
Gagan Dhingra: Yes. So I can take that. So first of all, there are a lot of uncertainties of what's happening. But there are a few things which really don't apply to us. And we are taking efforts in our supply chain to look like that. So let me take one by one. So one is basically when we look at on the manufacturing credit side of it, which is battery and inverter. On that one, the chances of appeal, we believe, is less. Then we are talking about the 45W, which is like $7,500 credit, which Marc already covered in this one. And then we are talking about various tariffs related to import from Mexico or Canada or steel. You name it. And our production already embeds that. In fact, we expect that if all things apply to us today, like what is like factor, the impact could be in the range of 7% to 12%. But we are taking efforts to mitigate, and I believe we're in much better shape compared to other OEMs.
Operator: Our next question comes from the line of Andres Sheppard with Cantor Fitzgerald. Your line is open.
Andres Sheppard: I think most of our questions have been asked already, but maybe I just wanted to touch on ASPs and gross margin once more. How should we think about blended ASPs for 2025 now with the mix including Gravity? And I guess on margins, you mentioned in your prepared remarks you expect Q1 and Q2 to be relatively similar to Q4. What does the path, just to build on one of the previous questions, what does the path to profitable gross margins look like from a timeline perspective? Thank you.
Gagan Dhingra: Yes. And I think I mentioned that in my prepared remarks. When we look at the total year 2025, we expect the significant improvement in line with what we had in 2024, and I believe you can do that math. Coming to like the Air and Gravity, now you look at that, we have guided basically 20,000 productions. Last year was 9,000 productions. So now we have more scale. First of all, we're taking significant effort in the company about the cost transformation, and whether it's a boom or conversion cost, we significantly decrease, and we're consistently working. But going to 2025 is a completely different trajectory. We're talking about now 20,000 productions. The conversion costs significantly come down because like fixed cost per vehicle doesn't change. And this also gives an opportunity to have, like how we deal with our suppliers. So altogether, we are in the right trajectory. We are not guiding what will be the precise range or the percentage, but we're saying it's like there's a significant improvement because of a couple of factors, that's taking place.
Andres Sheppard: Got it. Okay, that's helpful. And I guess as a follow-up, regarding your partnership with the government of Saudi Arabia to deliver up to 100,000 vehicles, I think in the past, you had mentioned that the, I think, majority of this mix will comprise of the Gravity and the midsize. So just wondering if you can, A, I guess, confirm that, and B, if you can maybe quantify a bit further how we should think about those deliveries, I guess, starting in late 25 and throughout 2026. Thank you.
Marc Winterhoff: That is correct. That is mainly actually the midsize, but also Gravity higher than the Air, but we cannot disclose further breakdowns because of our agreement.
Andres Sheppard: Okay, fair enough. I guess one more, if I could squeeze it in, just maybe a bit of a macro question. With the potential or likely implementation of new tariffs in April, just curious if you can maybe give us your thought as to how exactly you might be impacted and what can be done to try to mitigate some of that impact. Thank you.
Gagan Dhingra: Yes, I think on that one, I mentioned that the impact, including tariffs and 45W, 45X, everything combined, and if we factor in, it could range from 7% to 12% on the gross margin impact. But we are taking mitigating factors, localizing your supply, and we're taking all efforts there, and that also brings us costs down when we localize supply.
Marc Winterhoff: As an example, we just announced another deal on graphite in the United States on top of the other one that we already have. So we're taking actions.
Operator: Our next question comes from the line of Adam Jonas with Morgan Stanley. Your line is open.
Adam Jonas: I had a question on your artificial intelligence strategy. What is the company's AI strategy, specifically with autonomy? Obviously, you have the partnership with NVIDIA and DreamDrive and the Hyperion software-defined platform, but I'm not sure you've commented on whether you've gone to an end-to-end gen AI approach, the way the industry seems to be moving quite quickly. And if you are, what would that mean in terms of your expenditure and compute needs? And I just have a follow-up. Thanks.
Marc Winterhoff: Yes, I can definitely take that. So when it comes to our functionality, be it on us or on higher levels on autonomous driving. I mean, I want to point out first that we actually made quite some strides already in our current functionality over the last couple of months. You better leverage the sensors that we already have in our vehicles. And we continue to do so. We're actually planning to roll out hands-free driving later this year, and hopefully we can surprise everybody with how early that actually might be. So that's something that we're short-term working on. When it comes to the AD technology or autonomous driving, then we need to keep in mind that over the last couple of months or maybe a year, the goalposts have shifted. And nowadays, technologies that were mainly AI-based are much different from what we've seen in the past, where other players have invested billions and basically have nothing to show for. That is now changing. Having said that, we are considering different routes right now. We have extensive discussions with potential partners to partner on this particular topic, but also with what I just said, with the goalposts shifting, we're analyzing whether it would be worthwhile for us to completely install them. But we haven't made that decision yet. We're right now focusing on the short-term implementation and improvement of the technology that we have in our cars, in Gravity, obviously, upcoming, but then also in Air, while we are doing this analysis. A lot of things have changed in the last year. If we would have made a decision one year ago, we probably would have been on the wrong track.
Adam Jonas: Okay, I appreciate that. Just as a follow-up. I didn't know if you'd care to address the messaging from your largest shareholder, obviously, with the agreements in place to lower the stakes potentially to as low as 45% billions of dollars at the current share price. I know that prospectus was previously out there, but in identifying your largest shareholder, it does raise questions in terms of whether you would be a controlled company if they were to fall below 50%. We're getting some questions about that and would just love to hear any messages that you wanted to convey to the extent that you can on that position. Thanks.
Gagan Dhingra: Yes. I think, Adam, on the ownership percentage, we believe this is 58.4% based on the number of shares issued.
Adam Jonas: Right. But there's agreements to reduce that, right?
Gagan Dhingra: None that I'm aware of.
Operator: Our next question comes from the line of James Picariello with BNP Paribas. Your line is open.
James Picariello: I just have a question on Saudi Arabia shipments in 2024. By my estimation, it would have totaled something close to 2,100 just based on the region's generated revenue of $179 million per your 10-K. Is that the right ballpark figure in terms of unit volume? How should we be thinking about Saudi deliveries for this year, given the importance of that contribution?
Gagan Dhingra: Sure. First, looking at it overall, the Saudi government has a commitment of up to 50,000 vehicles with an option for another 50,000 vehicles. And we said previously, the mode will go towards the midsize, then Gravity, then Air. Now, we are going from 9,000 production to 20,000 production. We expect, like in year 2025, the proportion of Saudi Arabia come down and more go towards North America.
James Picariello: Okay. And then just a quick two-part one. The 20,000 units production guidance for this year, given that Gravity production is going to be capacity constrained, you can't give us the estimation on what the Gravity volumes are within that production figure. And then as we think about the midsize crossover starting in late 2026, will production solely take place in Saudi Arabia in your AMP-2 plant for that crossover? Or when or will it get produced in Arizona as well? Or will it just strictly be dependent on imports into the U.S.?
Marc Winterhoff: We're not disclosing the mix, but I mean, it's clear, obviously, at the beginning of the year that the Gravity is low while we are ramping up. And then the picture will change over the year, given the fact that the Gravity has a higher time than the year. And when it comes to midsize, we have AMP-1, but we're also outfitting, I'm sorry, AMP-2 in Saudi Arabia, but we're also outfitting AMP-1 right now to produce vehicles to be locally sold in North America.
James Picariello: Okay, so both plants will produce the crossover.
Marc Winterhoff: Correct.
Operator: Thank you. Ladies and gentlemen, at this time, I would now like to turn the call back over to Maynard for closing remarks.
Maynard Um: Thanks. So, this concludes Lucid's fourth quarter and full year 2024 earnings conference call. Thanks, everyone, for joining us today, and you may now disconnect.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect.